Presentation: 
Operator: Welcome to the Majesco Entertainment Company’s second quarter 2009 earnings conference call. (Operator Instructions) At this time I would like to turn the conference over to Michael Smargiassi of Brainerd Communicators.
Michael Smargiassi: Good afternoon everyone. I would like to welcome you to Majesco Entertainment’s conference call today. Before we get started, I would like to remind you that this call is being recorded and the audio broadcast and replay of this teleconference will be available in the Investor Relations section on the company’s website. As a reminder, this call may contain forward-looking statements including statements regarding management’s intentions, hope, expectations, representations, plans, or predictions about the future. Such statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that could cause actual results or actual future results to differ materially from the expectations set forth in the forward-looking statements. Factors that could cause actual results to differ materially are specified in the company’s Annual Report on Form 10-K for the year ended October 31, 2008 and other filings with the SEC. The company does not undertake and specifically disclaims any obligation to release publicly the results of any revisions that may be made to any forward-looking statements to reflect occurrences of anticipated or unanticipated events or circumstances after the date of such statements. To facilitate a comparison between the reported periods, the company has presented both GAAP and non-GAAP financial results. GAAP financial measures include expenses related to non-cash compensation, settlement of litigation and related charges net, changes in the fair value of warrants, the closure of the California studio, and a benefit from the sale of certain state income tax benefits derived from net operating losses. Operating income, net income and basic and diluted income and loss per share have been adjusted to report non-GAAP financial measures that exclude these expenses, charges, and income related to non-cash compensation, warrants, and income tax benefits. These non-GAAP measures are provided to enhance investors’ overall understanding of the company’s current financial performance and the company’s prospects for the future. These measures should be considered in addition to results prepared in accordance with GAAP but should not be considered a substitute for or superior to GAAP results. Reconciliation between GAAP and non-GAAP financial measures are included in the press release issued earlier today. On the call we have Jesse Sutton, Chief Executive Officer; John Gross, Chief Financial Officer and Gui Karyo, Executive Vice President of Operations. I would now like to turn the call over to Jesse.
Jesse Sutton : Thanks Michael, good afternoon everyone and thank you for joining us today. I will open the call with some highlights from what was a terrific quarter, and John will follow with the financial review and outlook. Gui, John, and I will then be happy to take your questions. We delivered another solid quarter as we continued to execute on our business plan and capitalize on the strength of the family friendly, casual gaming market. Our financial performance highlights our position in a sweet spot of the market and our ability to utilize our expertise and relationships in development and distribution to expand our portfolio of titles. This market focus has allowed us to deliver a substantially improved financial performance and positions the company for future growth as we develop new franchises and broaden our revenue base. Second quarter revenue was $20.5 million, an increase of 61% over last year driven by continued strength from Jillian Michaels Fitness Ultimatum and our Cooking Mama franchise as well as the launch of Gardening Mama, our first Mama brand extension which delivered a solid performance and demonstrated the value of leveraging the Mama brand. In the first six months of fiscal 2009 revenue has increased almost 70% from the year ago period. As a result of our impressive first half performance and expectations for upcoming launches, we have increased our revenue guidance for fiscal 2009 to $80 million to $85 million. Our gross profit margin for the quarter was impacted by the weak performance of Major Minor’s Majestic March without which margins would have been in line with last year. As expected our bottom line profitability was also impacted by our strategic marketing investments to support the growth of our franchises and for most promising titles. In the second quarter this represented approximately $1 million in television and internet advertising spending. In addition there were several other items that impacted the bottom line which John will discuss in more detail shortly. We delivered improved operating and net income on a non-GAAP basis and we remained focused on delivering profitable growth. Our entire management team is committed to driving our revenue performance to the bottom line and improving our overall profitability. During the second quarter we shipped five new titles including two DS, two Wii, and one iPhone. Releases in the quarter were highlighted by Gardening Mama, which we considered to be an extremely important milestone in the evolution of the franchise as it demonstrates the potential to extend the brand beyond its core cooking focus. The Mama franchise which now includes five SKUs has sold more then four million units and we continue to explore additional ways to further leverage the brand. In May, we announced the extension of our relationship with Jillian Michaels for two new releases; Jillian Michaels Fitness Ultimatum 2010 for the Wii and Jillian Michaels Pocket Trainer 2010 for Nintendo DS. These titles are the follow-up to the 600,000 unit selling Wii fitness game we launched last October. Both titles are scheduled for release in the first quarter of fiscal 2010 which starts in November, 2009, ahead of the holiday sales periods. We continue to develop our brand strategy with our new Go Play line for Wii. The first two brand titles, Go Play Lumberjacks and Go Play Circus Star just launched last week and we also recently announced the My Hero brand, a series of aspirational DS games. This new brand will include My Hero Astronaut, My Hero Firefighter, and My Hero Doctor with Astronaut and Firefighter launching first in August and Doctor following in the fall. As discussed in previous calls we are moving forward with our strategic investments in marketing for key product initiatives. These are targeted campaigns with modest budgets designed to support and accelerate the growth of our franchises and most promising titles such as Gardening Mama and the Go Play brand. We continue to believe this is a prudent investment that will create long-term value for the company. I would note that due to the timing of campaigns and the lag effect of advertising our marketing expenses may not match revenue in a given quarter. For example, we booked a good portion of our Gardening Mama marketing expense toward the end of the second quarter, but would expect to see additional benefits in our third quarter results. Finally I would like to update you on our development studio in California, when we first launched the studio our objectives were twofold. First to lower our cost per title and drive additional operating efficiencies as we achieved sufficient scale and second, to generate IP and the development of our own creative talent. Over the past several quarters we have seen a significant change in the dynamics of the gaming industry specifically in regards to the development market. The industry has seen a sizable increase in the amount of development capacity and more importantly, in the quality of developers looking for projects. Given this change in the marketplace, we have taken an extensive look and objective look at our studio and made the decision to wind down its operation. We believe this is the best step at this time and will better position us to take advantage of the current opportunities in the development market. As a result of this decision in the quarter we recorded all the expenses associated with the studio in research and development which accounted for the majority of the increase in second quarter R&D. In addition we would expect a minor charge in the third quarter as we wrap up the studio’s operations. Keep in mind the studio represents a tiny portion of our overall portfolio so we will not see any effect on the planned product lines. We remain committed to building our IP portfolio. We believe we have a solid IP lineup with Boy and His Blob, My Hero, Flip’s Twisted World, and Go Play all internally controlled. Going forward we will continue to look at opportunities to enhance our IP. Several weeks ago I attended the Electronic Entertainment Expo in Los Angeles. It was very encouraging to see the show return to a productive, well-attended conference. Clearly the industry is healthy and resilient despite the economy and it looks like this holiday season is going to be a banner one for the industry and in my opinion, our best ever. Majesco had a terrific show and our lineup was well received by both retail accounts and the media. In fact I’m proud to share that A Boy and His Blob was the runner up for the best Wii platform award from enthusiast site IGN. That said, I remain very excited about the gaming industry and the future for our company. Our focus on the casual gaming market places us in an industry segment that continues to see growth even in this difficult economic environment. We have delivered an impressive financial performance in the past two years and specifically in the first half of fiscal 2009 and our guidance puts us on pace to significant outperform our peer group. With our continuing success, and the recent changes in the industry we are seeing an increasing number of new business opportunities which meet our financial criteria and fit within our core strategy. We remain focused on prudently managing our costs and our committed to delivering profitable growth as we execute on our business plans. We have a proven strategy, are executing operationally, and have the right team in place to deliver additional growth and create value for our shareholders over the long-term. I would now like to pass the call to John Gross, Majesco’s Chief Financial Officer, to provide the financial review of our fiscal 2009 second quarter. 
John Gross : Thanks Jesse, we had another strong quarter and are very pleased with our performance so far this year which reflects our focus on growth and long-term profitability. At the half way point our 70% increase in revenues and non-GAAP net income of $4.5 million support that claim. And now for the details, our revenue in the quarter was up an impressive 61% versus the year ago period driven by our Cooking Mama franchise and Jillian Michaels. Virtually all of our revenue for the quarter was domestic as we transitioned out of our previous distribution agreement in Europe. We expect our revenue in Europe to resume in Q3 as we implement alternative distribution arrangements. We’ve already shipped Night at the Museum in Q3 as our first product under those arrangements. Wii revenues in the quarter were $10.7 million, triple the level of 2008 primarily the result of the Jillian Michaels product while DS revenues were $9.3 million, a 3% increase over 2008 when Cooking Mama 2 was very strong. Our gross margin in the second quarter was 32.7%, down from 34.7% in the year ago period. As Jesse mentioned earlier this was primarily due to the weak performance of Major Minor. Looking at the components of cost of sales, our product or manufacturing costs as a percent of sales declined by 710 basis points to 38%. This is a function of the heavy mix of Wii product with the higher wholesale selling price versus last year. Actual per unit costs were roughly flat with last year. The amortization of development and licensing costs increased 910 basis points versus last year due to an increase in the average cost per game for our Wii product and the heavier mix of Wii products this quarter. As we indicated we have increased the quality of some of our products but are still within the risk parameters we’ve been using for the past two to three years. The higher amortization costs as a percent of sales exceeded the benefit of the reduced product costs and resulted in the 200 basis point decline in gross margin versus last year. As an aside, if you’ve been following the company for the past two years, you have witnessed significant volatility in quarterly profit and gross margin. The swings in margin have been extreme, as high as 43%, and as low as in the high 20’s. These swings are largely a function of promotional activity and the mix of product in a particular quarter and obviously the performance of the products themselves, especially at launch. Our operating expenses remain under control especially the fixed costs. As a percent of sales, total operating expenses which include the incremental marketing and all our variable selling and marketing expenses were up 55% in total but declined 140 basis points versus last year’s second quarter. The increase in operating expenses was driven by five primary factors. First as a result of our 60% increase in volume, variable, selling and marketing expenses accounted for a large portion of the dollar increase by were in line with previous on a percentage of sales basis. Second selling and marketing expenses were impacted by our strategic marketing campaigns which represented approximately $1 million in the second quarter and $2.3 million in the six months for television and internet advertising supporting our key products. We plan to continue to selectively support some of our key initiatives in this way always reevaluating the individual campaigns based on current market conditions. Third with our decision to wind down our studio during the quarter, we recorded a $400,000 charge in research and development which represents all of the expenses associated with that operation for the quarter. Fourth, we continue to make some modest investments for the development of games for new platforms such as iPhone, Facebook, and other digital applications, the cost of which are included in R&D. Finally, we cancelled a couple of games, titles in development which impacted our general and administrative costs by $300,000. G&A expenses as a percent of sales continue to decrease significantly by 430 basis points in the quarter from 15.8% to 11.5% and 400 basis points for the first half of the year from 13.1% to 9.1%. These declines highlight the operating leverage we have built into the business over the past several years. Total cash fixed costs for the quarter which includes G&A, product research, and the fixed portion of selling and marketing related primarily to employee costs remained within our expectations of $3 million to $3.5 million. This excludes cost expense for the studio, non-cash comp, and any annual incentive compensation. As an aside, we continue to be vigilant in looking for opportunities to reduce costs. We have negotiated reductions in fees with some of our key vendors and service provides, in some cases those reductions ranging from 10% to 40%. While it doesn’t kick in until next year, we recently signed a new five year lease for our headquarters which will result in our annual base rent being 20% below this year’s base rent. We continue to move profit improvement process forward and will update you each quarter on any progress. We recognize the importance of being able to build a model with sustainable and growing profitability and believe that our cost management is a critical success factor towards that objective. The GAAP operating loss for the second quarter was $600,000 compared to 2008 operating loss of $300,000. Non-GAAP second quarter 2009 operating income was $500,000 compared to non-GAAP operating income of $200,000 in 2008. The GAAP operating loss for 2009 included a $300,000 charge in connection with the class action litigation and a $400,000 non-cash compensation expense and a $400,000 charge for the entire expenses of the studio in the quarter. The 2008 operating loss for the quarter included a non-cash compensation expense of $400,000 and a $100,000 expense of studio related activities. Also impacting this quarter’s profitability are the expenses associated with our marketing which occurred in the latter half of the quarter. We are hoping to get some additional lift from these programs in the third quarter. Interest and financing costs were higher then last year primarily the result of higher sales which generated higher factor fees. For the second quarter the GAAP net loss was $1.7 million or $0.06 a share which included a $900,000 non-cash loss in the fair value of warrants issued compared to a second quarter 2008 GAAP net loss of $300,000 or $0.01 per share which included a $100,000 non-cash gain in the fair vale of the warrants. Non-GAAP net income was $300,000 or $0.01 a share compared to a non-GAAP net income of $54,000 or zero cents per share in 2008. For the six months, GAAP operating income increased 46% to $13.1 million compared to 2008 operating income of $2.1 million. The 2009 results include a $400,000 charge in connection with the class action and $800,000 non-cash compensation expense and $1 million in studio expenses. In 2008 there was a $300,000 gain in connection with the class action, a $700,000 non-cash compensation expense, and a $300,000 expense for the studio. Non-GAAP six month 2009 operating income increased 83% or $2.4 million to $5.3 million from $2.9 million in the year ago period. For the first six months GAAP net income was $2.5 million or $0.09 per share which in addition to the charges previously discussed included a $1 million non-cash loss in the fair value of warrants issued and a $1.1 million gain on the sale of income tax operating loss carry forwards compared to the first six months of 2008 GAAP net income of $2.6 million or $0.09 per share. Non-GAAP net income increased $2 million or 75% to $4.5 million or $0.16 per share compared to a non-GAAP net income of $2.6 million or $0.09 per share in 2008. Turning to our balance sheet, as of April 30 we had $10.3 million in cash or cash equivalents. Our due to factor was $746,000 which represents gross receivables sold to the factor of $15.7 million, less allowances of $2 million and advances from the factor of $14.5 million. This compares to 2008 fiscal year end of $5.5 million in cash or cash equivalents. At the 2008 year end the due to factor was $983,000 which represents gross receivables sold to the factor of $11.7 [million] less allowances of $3.1 million and advances from the factor of $9.6 million. Our capitalized development costs and license fees were up 26% versus year end reflecting the growth in the number of titles we’re publishing and the higher costs and longer development cycle of Wii titles. The vast majority of capitalized costs pertained to titles not yet released at the end of the second quarter. As we look forward to fiscal 2009 we are increasing our revenue guidance based upon the success of our products to date and our lineup for the balance of the year. We expect net revenue to be $80 million to $85 million, up from our previous guidance of $75 million to $80 million. We also expect to generate non-GAAP earnings per share of between $0.10 and $0.14 for the full fiscal year. Our guidance reflects the success of the first half and the investments that we are making to support and extend the Mama franchise and to build out the Go Play line. Guidance assumes the release of approximately 33 titles in 2009 with approximately 18 DS and 14 Wii titles. As a reminder our results are also impacted by seasonality from the December holiday period and variability based on release schedules. Finally this afternoon we filed a universal shelf registration statement with the SEC. As Jesse noted earlier, we are seeing a number of new business opportunities which meet our financial criteria and core strategy that could potentially accelerate our growth expectations. We believe this is a prudent step which provides the company with the flexibility to relatively quickly access the capital markets if and when we so choose. I will now turn the call back to Jesse.
Jesse Sutton : Thanks John, I would like to conclude with some comments on our remaining 2009 lineup which includes a number of titles that we are excited about. Fiscal Q3 titles include: Night at the Museum, Battle of the Smithsonian for Wii/DS/360/PC follows the storyline of Twentieth Century Fox’s highly successful recent theatrical release of the same name which debuted in theaters May 22. Featuring the voice and the likeness of the film’s star Ben Stiller, the game brings the movie experience directly into the home with all the excitement and humor from the feature film. Go Play Lumberjacks for Wii is the first game in our new Go Play line of motion-based, family friendly Wii titles that lets players use the Wii Remote to chop, climb, saw and logroll to victory in five entertaining events that include support the Wii Balance Board accessory. Go Play Circus Star for Wii is the second game our Go Play line that includes a full collection of all-time favorite circus attractions. Featuring support for the Wii Balance Board accessory, the game lets players wow the crowd with death-defying stunts, animal tricks, and sleight of hand in 15 different events. Both Go Play products are available now around the country for $29.99 each. Looking at our fiscal fourth quarter some of our announced titles include, Go Play City Sports for Wii is the third game in Majesco’s new Go Play line. This compilation of urban sports lets players compete against the best neighborhood athletes in six classic games, including stickball, kickball, handball, rooftop hockey, shootout soccer and jump rope. The game also features four player gameplay and support for the Wii Balance Board accessory. Our House: Party! for Wii turns the Wii Remote into the ultimate home renovation tool that lets up to four players compete party style to build their own personalized trophy home that they can then share with friends via WiiConnect24. A Boy and His Blob for Wii is a rebirth of the NES classic that expands upon the original platform adventure and features groundbreaking hand drawn and painted animation technology. By feeding the blob jelly beans, players can activate its special abilities to transform it into tools that help the pair solve puzzles, defeat monsters, and escape danger. Looking at our fiscal first quarter 2010 which includes the holiday sales period Jillian Michaels Jillian Michaels Fitness Ultimatum 2010 for Wii and Jillian Michaels Pocket Trainer 2010 for DS feature the celebrity fitness trainer, life coach, and star of the popular television series The Biggest Loser as she leads players through high-intensity, one-on-one workouts while providing direct feedback and motivation to help players reach their personal fitness goals. That concludes our formal remarks, we are now ready for your questions. 
Operator: (Operator Instructions) Your first question comes from the line of Sean McGowan – Needham & Company
Sean McGowan – Needham & Company: I have two questions, the first of which is could you comment on what feedback you’re getting from retailers regarding the sell through of some of the key titles during the quarter especially the recent ones and second, if you could comment why with the increase in revenue guidance there isn’t more of an increase in non-GAAP earnings guidance. 
Gui Karyo : With regards to the sell through, its very rare that we comment on the sell through of individual titles unless they pass specific milestones, but I will say is that its been a solid spring for us and that we are looking forward to having a healthy spring and fall release. And that Mama in particular, Gardening Mama in particular has sold above our initial expectations, not just in and through which again emphasizes the power of the Mama brand extension. 
John Gross : To your latter question, not included in the GAAP adjustment are our marketing investments which as we indicated the first time around we’re being, I don’t want to say its cautious, but we’re being somewhat conservative in terms of our expectations for those and letting them play out. So just as with the Go Play at the end of the second quarter we have additional marketing investments planned for the balance of the year and are taking a similar approach with those. 
Operator: Your next question comes from the line of John Taylor – Arcadia Investment Corp. 
John Taylor – Arcadia Investment Corp. : I’ve got a couple of questions as well, I wonder if you could talk a little bit about what the closure of California means in terms of your cash product development budget for the year and next year, is there any material difference between what you now expect and what you expected when you had that in house, that’s the first part. I guess the second part is of the charges that your reporting, how many of those are going to end up being paid in cash as opposed to product write-downs, non-cash charges. And the third part of that question I guess is are there assets that were developed or started or whatever by that studio that can be transferred or do they basically have to be all started over again. So that’s the first question. 
John Gross : In terms of the cost of the studio, all of the costs that we reported this quarter and will report next quarter will be cash, whether it be for salaries, severance, or rent. We had a termination provision in the lease which allowed us to terminate it early and pay a fee which was much less then continuing to rent the property. So that’s one part of your question. In terms of the cash effect going forward there’s not really an effect of that because when we originally launched the studio as I think we mentioned, we really viewed it as a swap out of projects be they internal or external. So from a cash requirement point of view, I wouldn’t view that as a bad thing. Did I get everything. 
John Taylor – Arcadia Investment Corp. : Well yes, actually you just kind of touched on it, so the cash budget may not have changed, I wonder of any of those assets though can be used or whether they have to start over. 
Gui Karyo : There are assets of a couple of projects that are in production that will either be finished or be transferred. So a good portion of what we’ve been working on is just being sort of re allotted in a sense, now exactly what that ends up being we won’t really know until we’ve completed the development cycle on a couple of these things. But its not lost work so much as transferred work. 
John Gross : And just to be clear on that, we have expensed the cost of the studio so to the extent we do end up using those that would only be a benefit to the company. 
John Taylor – Arcadia Investment Corp. : And then my second question had to do with the strategic things you’re looking at, so you’re filing a shelf registration, I wonder if you could talk about how you’re prioritizing things as what’s on your wish list, are you looking to get some technology maybe to get into a new segment, I’m thinking potentially mobile. You don’t need to say specifically but you’re thinking new segments where you’re going to have to buy your way in to critical mass maybe or sort of to speed up the learning curve, might it be on the other hand new IP of property or something that you might be looking at or would you be more likely to do something to bolster the, what you might call the traditional publishing business where you’ve got both feet right now. 
Jesse Sutton : I think you pointed out a bunch of areas that are interesting, I would say that the key focus here is on creating and building content and that goes for internal IP as well as licensed IP and bringing that kind of value to the company. That’s where I would say the main focus of it would be related to, obviously that’s a broad brush I paint, but that’s sort of the main focus. 
John Taylor – Arcadia Investment Corp. : So would something like a team and again, I’m not looking for any specific direction here, anything really specific, but a team doing say iPhone games to expand on that platform, okay maybe you do unique IP for the iPhone, would that come under that or are you thinking more sort of in a general sense of IP that you can deploy across current platforms, casual platforms, Nintendo whatever, and wherever else. 
John Gross : Just to be clear, right now we don’t have any specific plans per say, the purpose of filing the shelf was to facilitate the future raising of money and to provide us the flexibility to do it more expeditiously. So its not as though we’re sitting here with a list of 30 projects that we’re going to go run out and do, that’s basically where we are. And I don’t think our strategy has changed. We remained focused on building the business the way we have for the last two to three years. 
Operator: Your next question comes from the line of Ed Wu – Wedbush Morgan Securities 
Ed Wu – Wedbush Morgan Securities : Congratulations on a great quarter, your Mama game obviously did very well, have you publically disclosed any other Mama games that you will be releasing, and also on the Gardening Mama, is that US rights only. 
Gui Karyo : We have not disclosed as of yet the upcoming product in the Mama line, we will as soon as we are prepared to and yes, our Gardening Mama relationship much like our Cooking Mama relationship is for the North American, Latin American, South American territories. 
Ed Wu – Wedbush Morgan Securities : And the last question I have is, we’ve been getting some recent US sell through information for hardware in the DS and the Wii and there is some concern out there about the Wii sales slowing, what is your outlook for the holiday season for the DS and the Wii.
Gui Karyo : For our products on DS and Wii?
Ed Wu – Wedbush Morgan Securities : For the hardware and the install base growth. 
Gui Karyo : We don’t really comment or project on Nintendo’s expectations for their hardware sales and I would refer you to their comments on it. What I will say is that we are extremely bullish about the size and the attach rates for the demographics we are going on this platform and we are comfortably confident that the portfolio that we are bringing out is going to continue to attract new consumers and return consumers to the Majesco line through this holiday. 
Jesse Sutton : I would just add to that after and I said this earlier, after having spent a couple of weeks ago at E3, that it really does seem like this holiday is going to be a very exciting one for the industry and specifically on the Wii and DS. 
Operator: Your next question comes from the line of Todd Greenwald – Signal Hill
Todd Greenwald – Signal Hill: Just a couple of follow-up questions, given your success and your excitement about the Wii and DS market and the holiday season, I’m just curious about your guidance, given growth rates for the past two quarters of 76%, 1%, even with your raised guidance, you’re basically assuming that the second half sees a revenue decline year over year, so I’m just wondering if you could explain the reasoning behind that. Is that a function of your release [slate] or the retail environment, or is that just conservativeism, and that I have a follow-up about the fitness genre. 
Gui Karyo : As its true for many publishing portfolios, the revenue expectation from quarter to quarter really very much is reliant on the release [slate]. If you look at our release [slate] in first and second quarter of this year we had some real heavy hitters, not just Mama Wii World Kitchen and Jillian but Gardening Mama. Going through this quarter, third quarter and into our fourth quarter we have some [inaudible] that we are very excited about but they don’t have the necessarily sure hit expectations that you could attach to what are our largest franchises. So I would say is that we’ve taken a rationally conservative approach to our expectations looking for us to do reasonably well but not necessarily outlining what might be a break out hit. 
Todd Greenwald – Signal Hill: And then on the fitness genre, a year ago it was pretty wide open for Jillian, now it looks like you’re going to be launching in a more competitive environment. It seems like every publisher out there has at least one key title in that category, do you see retail doing anything there to raise awareness for the category. Are they going to do special end caps or a separate area and then also how do you see your titles standing out there, is it by a price, is it by a Jillian’s name recognition, if you could just elaborate on that a little bit. 
Jesse Sutton : If you look at, without a question the category has broadened and its, we’re excited about the fact that as a result of that even though there’s a lot more competition its created a lot more awareness to the category and we do expect retailers to expand those categories within their retail space especially in fourth quarter. That being said we also feel very excited about the fact that the most recognized celebrity on that genre is being published by Majesco and that’s Jillian Michaels and I think that’s where we feel confident about that product. 
Gui Karyo : I would put an emphasis there on the idea that the market is growing. You know a year ago when we were green lighting Jillian Michaels, the big question was, will adult women buy a product for the Wii specifically for themselves. And I think we were all pleasantly surprised that the answer was not just yes, but a very emphatic yes. And our expectation as a result of the competition is not just that there are choices out there for that audience but also that the audience is growing week by week, day by day. And we are very excited about the opportunity to have Jillian especially launch her brand again against a much larger install base of adult women who believe that fitness and the Wii are things that go together for them in their homes. So what I would say is that we believe that the platform itself has definitely proven itself to retail so that you will see a lot more retail support for the idea of fitness on the Wii [inaudible] women through the holiday season. That will be compounded with a variety of different products approaching that demographic and that ours will be among the best of them in that as Jesse pointed out, we have attached to it Jillian and if any of you are unfamiliar with the Jillian brand at this point, I recommend that you go take a look just simply at her mailing list online which is a very large and [inaudible] audience of fans who week by week, month by month, live by her word on fitness. And our belief is that she will promote this brand just as strongly as she did last year and that that will translate into a wonderful sequel launch. 
Operator: Your next question comes from the line of John Gruber – Gruber McBane
John Gruber – Gruber McBane: My question is on gross margin, we’ve had a decline a few quarters in a row, what is the goal for gross margins let say next fiscal year and then how does Gardening Mama’s gross margin compare to that sort of goal.
John Gross : I would say our goal would be to try to sustain them at the level they were at last year, acknowledging though that we are investing in higher quality product we would conceivably make a tradeoff on that at the opportunity for a larger success. In terms of the particular quarter again, I would point to the performance of Major Minor as the particular reason for this quarter. As we’ve said all along on a quarter to quarter basis, there continues to be tremendous volatility. 
John Gruber – Gruber McBane: You didn’t answer, what gross margin are we looking at and what is, and how does that compare to the Gardening Mama, you said Gardening Mama was above expectations, so answer that and I have a follow-up. 
John Gross : On the margins of Gardening Mama?
John Gruber – Gruber McBane: Yes.
Jesse Sutton : We talked earlier on the call with regard to the marketing costs that we put behind Gardening Mama and how that’s helping, really impacts the profitability for that title. The goal is to set up a scenario where our product that we believe has opportunity to break out like Go Play and the Mamas, will ultimately translate into bottom line profit in the long run. 
John Gross : Just to follow-up on Jesse’s comment, one of the things we’ve talked about is that the, while it doesn’t show up in gross margin the marketing investment in Gardening Mama took place in the second half of April and continued beyond that and obviously our expectation or our hope would be that the benefit of that campaign would follow through into the third quarter. So in terms of bottom line margin our expectation would be that we’d see that benefit or higher bottom line margin for the product in the third quarter. 
John Gruber – Gruber McBane: Yes, well that was an earlier question which is why, why isn’t, why aren’t earnings being raised and that was, your answer would say that they should be raised if you’ve gotten the marketing early for Gardening Mama therefore we should reap the benefits in the second half on the earnings side. So why didn’t you raise your earnings estimates given you raised your revenue estimates. 
John Gross : Because as we sit here we’re just a little more then a month after that and we have a couple of other campaigns similar to that that we’re making on other products such as Go Play which launched in the third quarter and again we’ve taken what we believe is a more cautious approach in terms of recognizing that until we actually see it. 
John Gruber – Gruber McBane: Okay, and Go Play, what percent of revenues could that be in the second half. 
Jesse Sutton : We don’t usually comment on individual products ahead of time being a portion of our, what portion they would be of our expected sales number. Our marketing investment into those products speaks to the what we believe is the large potential of those breaking out and that over arching brand being a very important part of our portfolio. 
Operator: Your next question comes from the line of [Ahmed Kawasan] – BWS Financial 
[Ahmed Kawasan] – BWS Financial : I’m trying to understand what you’re strategy intention is, I mean you ended the quarter with $10 million in cash, you generated a profit and then you’re filing a $20 million shelf offering which is basically a third of your market cap, and you’re games cost upwards of about $1.5 million to develop, so what is the strategy you’re intending to pursue with such a large shelf offering. 
Jesse Sutton : Let me just say that one of the dynamics that’s resulted in the industry relative to us as we’ve been successful on the platforms and the demographic that we have been successful at, we’ve had a lot of opportunities to come to us and that continues to come to us both on a wholly owned intellectual property opportunity as well as some major licensing opportunities, second being a significant benefit to the company and create major value. As we are inundated with these opportunities way more then we have been in the past, we felt it was important to have the flexibility to access the capital markets in a way that we could take advantage of those things quickly and efficiently and not lose those opportunities. That’s all its about. 
John Gross : And to the other part of your question in terms of where we are at the end of the quarter, historically if you will our leanest times absent particular product successes, are the quarters that we’re heading into. So the expectation would be if the balance of the year behaves as the other years have from a working capital point of view that our working capital requirements are going to go up relative to what they’ve been. And again its hard to predict the success of individual products but for example we did make the investment in Gardening Mama marketing, we have a couple of other investments such as those planned and if we experience what we did last year we’ll be doing marketing at the, in the fourth quarter pre holiday and we conceivably would be building inventory at that time as well. So I think evaluating or extrapolating the current cash position is probably not a solid thing to do at this point. 
[Ahmed Kawasan] – BWS Financial : What I’m trying to understand is your business model is for games with a low cost and you take a look at your Boy and His Blob title, you bought pennies on the dollar and you developed it and with the acquisition model that you’re suggesting, it almost seems like you’re deviating from that and you could have an extended period for return on investment. That’s what I’m trying to understand is what kind of return on investment goal are you going to have, or objective are you going to have. 
Gui Karyo : As we’ve stated from the start, its not that we have a specific plan. I will say that overall our strategy remains the same, a relatively conservative return on investment per project with a focus on the mass market. I think that what Jesse and John both refer to is our interest in having enough flexibility that as opportunities come up that allow us to put better, more interesting products to market, or provide the company with additional flexibility in terms of cash on hand, that we’re interested in pursuing that. But as I said, as it stands right now, isn’t a specific plan. It is the opportunity for a plan if it makes sense for us and for our shareholders. 
Jesse Sutton : Let me just add that we don’t anticipate changing our strategy in any way sort of manner relative to our development costs threshold, or our marketing expenses threshold. I would say that if you go through the past couple of years its easy to tell that the quality and robustness of our products have only gotten better over the course of that time and that that’s what we intend on continuing doing and that’s really what this is for, is to allow us the flexibility to do that. 
Operator: Your next question is a follow-up from the line of John Taylor – Arcadia Investment Corp.
John Taylor – Arcadia Investment Corp.: Within the guidance of $80 to $85 how much roughly comes from international and assume because you’re in transition there, what would be sort of a normalized percentage of total in a typical year. 
John Gross : The second part of the question is we’ve typically been running I think 10% to 15% or so. Obviously with the transition that we spoke about, the first half of the year being what it was, on an annual basis you’ll probably see something like half that for this year. But going forward we’d certainly expect to return to more normal levels after this fiscal year. 
John Taylor – Arcadia Investment Corp.: Maybe enlighten this ignorant guy on whether Jillian is being broadcast in Europe anywhere.
Jesse Sutton : No. 
John Taylor – Arcadia Investment Corp.: And then that was my dumb question of the day I hope, let’s see, in the past you’ve benefited from presence in some of the Nintendo demo stations, at this point are you aware of any plans to be able to highlight your products there this fall. 
Gui Karyo : Nothing has been announced. We will certainly announce it as soon as we are able. 
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments. 